Operator: Thank you for standing by and welcome to the Zymergen Third Quarter 2021 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session.  I would now turn the call over to Mr. Mike Dulin. Please begin.
Mike Dulin: Thank you. Earlier today, Zymergen released preliminary financial results for the quarter ended September 30, 2021. If you haven't received this news release or if you'd like to be added the Company's distribution list, please send an email to investors@zymergen.com. Joining me today from Zymergen are Jay Flatley, Acting Chief Executive Officer; and Ena Singh Chief Financial Officer. Before we begin, I'd like to remind you that management will make statements during this call that are forward-looking statements within the meaning of the Federal Securities laws. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated. Additional information regarding these risks and uncertainties appears in the section entitled forward-looking statements in the press release Zymergen issued today. For a more complete list and description, please see the risk factors section of the Company's latest 10-Q and other filings with the Securities and Exchange Commission, including when filed Form 10-Q for this quarter. Except as required by law; Zymergen disclaims any intention or obligation to update or revise any financial or product pipeline projections or other forward-looking statements, whether because of new information, future events or otherwise. This conference call contains time-sensitive information that is accurate only as of for live broadcast November 3, 2021. In addition, please note that the third quarter financial results discussed today are preliminary and estimated and are subject to the completion and finalization of Zymergen’s financial and accounting closing procedures. With that I would like to turn the call over to Jay.
Jay Flatley: Thanks, Mike. And thank you all for joining us this afternoon. On today's call I'll begin with an update on our progress against the objectives we set in August. I'll then turn the call over to Ena for a more detailed review of our financials, including our preliminary third quarter results and our forecasted cash burn. In addition to the summary of the work we've done today, I'll share a high-level overview of our forward-looking portfolio. This will provide a general sense of our direction, but it's not intended to provide full details as our work is ongoing. We expect to complete our plan around your end, and we will be in a position to provide more detailed plans once that work is complete. In our business update in August, we committed to complete a number of key deliverables over the several subsequent quarters, including a full reexamination of the company's target markets confirming our past use or altering them if the data indicate a shift in market focus is appropriate, including exploring potential new markets. A plan to reduce the company's burn rate, to extend our operating runway, a deep dive into the process by which we prepare and launch products to be sure they are market ready and can be easily integrated into our customers’ workflows, a plan to strengthen our commercial team and ensure the reliability and robustness of both our sales pipeline and forecast processes. And lastly, a multi-year plan with clear milestones and goals that the company can be held accountable to achieving.  Over the last 90 days, we've made significant progress towards these goals. Working with top tier consultants, we've done a deep dive on our market opportunities and our portfolio using a standardized process to assess our investments. This included overall market size, our addressable market, competitive profiles, product development cost, cost of goods of the ultimate product, cost of customer acquisition, time to market, margin profile and development risk, all the factors you'd expect to consider in building an optimized pipeline. We stopped work on a number of programs and promoted several others. These changes allowed us to implement a reduction in force of approximately 220 positions across a variety of levels and functions. We believe these tough decisions, along with a reduction in related overhead spending, will lower our burn rates sufficiently to operate to mid-2023 with the cash we have on hand. We've established a rigorous product development process to move products from concept to launch in a consistent and systematic way, which will ultimately help ensure a greater confidence in product success. We've also restructured our commercial team with a more customer-centric orientation, integrating the formerly separate marketing function to drive a holistic lead to revenue process. In addition, we've more clearly defined our sales operations function to increase discipline in how we engage customers. With our portfolio and cost reduction work largely in place we've kicked off our process to develop a comprehensive strategic plan that maps the business through 2024. Let me now share some additional details. Our portfolio review indicated that we were working on at least 30 different programs, far too many to adequately resource. It was imperative that we narrow our focus to a smaller in number that we believe capitalize on our strengths and provide clear commercial opportunities that resulted in decisions to pause or eliminate several programs while promoting others to a higher level of investment. A critical highlight is the cancellation of two programs that were prominent in our public plans. Hyaline known as ZYM102, and our direct-to-consumer insect repellent, referred to as ZYM201. In the case of Hyaline films, we no longer have convection in the market opportunity. To be clear and contrary to many published reports, the product worked as designed, the underlying technology and science are sound. The technical issues that I discussed in our August call caused delays, but were quickly resolved by our teams and were not a factor in our decision to help the project. In fact, at the time we canceled the program, we had made tens of thousands of square meters of Hyaline. The issues that we uncovered were commercial. We look more closely at the foldable display market and the emerging data on the market segment that we targeted with Hyaline and other electronics films indicated a smaller, near-term opportunity than we initially expected. As a result, we stopped work on our electronic films programs, but are continuing work on our ZYM101 film in partnership with Sumitomo. We will also continue to explore and develop bio-based polyimides in several different form factors, which we expect will add value to potential future products, not just in electronics, but other markets as well.  In the case of our insect propellant and other consumer care programs, our review show that the cost of customer acquisition with a direct-to-consumer model would have been prohibited for Zymergen. While the product performance was satisfactory, it could not be produced and distributed at a price point competitive with the incumbent products. With this assessment, we've decided to park all our efforts in consumer care. We have, however, developed strong IP and technology around bioactives and remain open to potential future partnerships in clean consumer care. Turning now to the forward-looking portfolio, we continue to see success with our work in agriculture, particularly with a flagship program in nitrogen fixation, where we're working with an important partner. We expect to have data later this year on the performance of our microbes in both corn and wheat field trials across over 50 sites in North America. We're also accelerating work on two programs in the health care market. One for development of key enzymes using vaccine production and a second in drug discovery. Our enzyme work is focused on improving both supply and performance for next generation vaccines and our team's deep entomology experience is enabling us to quickly develop several enzymes for potentially use in vaccine manufacturing. In drug discovery, the size and diversity of our metagenomic libraries provide the raw materials to discover molecules that can modulate important oncology and other validated targets. We believe we have a powerful methodology to discover and unlock the potential of millions of natural products that are currently considered unreachable using traditional drug discovery techniques. We expect to be in a position to share data on this program in the coming months. Additionally, we have programs that are in the early concept stage being evaluated for market size, product development cost, time to market, development risk and the other criteria that I described earlier. In some cases, these programs may be funded to move into full development, or they might be parked and protected for potential development in the future when resources are available to commit to them.  Lastly, we've reorganized our research group around what we call leads and seeds. Leads are the potential drug targets that I just spoke of and seeds are the early exploratory ideas that if viable will be funded to fuel our future development pipeline. The key takeaway is that we focused our investments, restructured our development and research processes and now we've got a pipeline of products that we believe capitalize on our capabilities and provide clear commercial opportunities. As you would expect these portfolio updates have resulted in a number of changes to our organization and leadership structures, which I'd like to take you through now. A key element to ensuring that we're set up for long-term success is to have the best possible leadership. We're laser-focused on ensuring that we have the right team to execute our product development and operation plans efficiently bring products to market and positioning Zymergen as a stronger company with a compelling operating plan. As I mentioned in our last call, we've added several key executives who have been instrumental in our recent work. In addition, we've made some key changes to our structure that streamline our organization with a clear focus on accelerating product development and commercialization. Notably, we've centralized our strategy, business development and portfolio management into a single organization to drive rigor in our product development process, combining groups that have previously been spread across the company. In addition to these changes, Jed Dean, one of Zymergen’s Co-Founders has decided to move on from the company after completing a smooth transition of his responsibilities to Subodh Deshmukh, who joined us in July. Jed's last day with us was October 31. We're all grateful for Jed's vision in his work in advancing the Zymergen mission and thank him for as many contributions. Before I turn the call over to Ena, I want to reemphasize a key point. The technology platform at Zymergen works as advertised. We believe we have the world's largest metagenomics library, a library which has potential applications in agriculture, healthcare, and consumer care. We began to explore these capabilities through partnerships in the agriculture space and are excited to pursue further applications. Our proprietary early discovery and screening capabilities allow us to identify relevant biomolecules for a variety of use cases, such as novel therapeutics for challenging targets and agricultural applications. As an example, just last week, a paper was published in Nature Communications that highlighted the work we performed with Synlogic to improve their synthetic biotic medicine using our biosensor enabled enzyme engineering. We've continued to review our technology platform with external experts and scientists and remain confident in the capabilities of our platform. With that, I'll turn the call now over to Ena for more details on our financials. Ena?
Ena Singh: Thanks Jay. I will now take you through our preliminary third quarter results and our forecasted cash burn. Total revenue for the third quarter of 2021 was $4.1 million all relating to R&D service agreements and collaboration revenue. This represents a 27% increase over the same quarter in 2020 and was primarily driven by the timing of deliverables under fixed fee contracts and additional revenue recognized due to contract milestones. Revenue was down compared to the prior quarter due to certain milestone payments in Q2 and the normal end of contract phases early in Q3. Total operating expenses for the quarter of 202, were $99.3 million, a 61% increase from $61.5 million in the third quarter of 2020. Operating expenses were driven by increased resources allocated to product development, expenses incurred post-acquisition of Lodo Therapeutics, restructuring charges, as well as the cost associated with being a public company. Operating expenses decreased 4% from $103.5 million in the second quarter of 2021. The decrease spending on programs as we evaluated our portfolio and the reversal of accrued performance bonuses from the first half of the year. This was offset by total restructuring charges of $21.2 million. In the third quarter of 2021 total operating expenses excluding the $21.2 million of restructuring charges was $78.1 million. R&D expenses for the third quarter of 2021 were $39.1 million, up 80% from prior year, primarily related to work on Hyaline and our insect repellent ZYM0201, prior to our decision to discontinue those products, as well as personnel and consumables expenses related to our acquisition of Lodo Therapeutics. When compared to the prior quarter, R&D was down 22% driven by the slowdown in program spending and the bonus accrual reversal. Sales and marketing expenses for the third quarter of 2021, were $4.0 million, down 9% compared to $4.4 million in the third quarter of 2020 and down 50% compared to the second quarter of this year. The decrease quarter-on-quarter resulted from reductions in our marketing and public relations spending and the bonus accrual reversal. General and administrative expenses for the third quarter of 2021 were $17.9 million compared to $14.4 million in the third quarter of 2020 and $23.7 million in the second quarter of this year. Compared to the prior year, the 24% increase was driven by the cost of being a public company and real estate costs associated with the development of our new company headquarters. The 24% reduction compared to the prior quarter was related to the reversal of the bonus accrual and other adjustments. Net loss quarter in the third quarter of 2021 was $98.2 million compared to $61.8 million in the third quarter of 2020 and $100.8 million in the second quarter of 2021. The net loss of $98.2 million in the third quarter of 2021 included $21.2 million of restructuring charges related to our portfolio review and cost reduction work. Offsetting this Q3 benefited from the reversal of accrued performance bonuses by approximately $9.4 million. We ended the third quarter of 2021 with $496.2 million in cash and cash equivalents and $10.8 million in restricted cash. Looking ahead, we do not expect product revenue in 2021 and expect product revenue to be immaterial in 2022. Without visibility to near tern product revenue one of our top priorities is to closely manage expenses. In September and October, we implemented a workforce reduction and have since narrowed our focus to a smaller number of programs that capitalize on our capabilities and present clear commercial opportunities. Additionally, as part of the restructuring, we began a reduction in our cost structure with the goal of extending our cash runway. Third quarter restructuring activities resulted in total pretax charges of $21.2 million. These restructuring charges include $4.2 million related to our workforce reduction in September; $3.7 million due to contract terminations and contractual commitments; $11.2 million of fixed asset impairments; and $2.2 million due to consulting fees related to our restructuring activities. We expect expenses in Q4 to be roughly flat as our spending reductions will be offset by the lack of the accrued bonus reversal, which took place in Q3. We expect to realize the full effect of our restructuring efforts in 2022. These activities began in the third quarter of 2021, and I expect it to be substantially completed by the end of the year. However, certain activities such as lease restructuring may extend into the first quarter of 2022. As a result, we believe that we have sufficient cash to fund operations to mid-2023. Subsequently to the end of the quarter on October 20, we entered into an amendment of our debt agreement with Perceptive. As a part of the amendment, we paid $41 million, which included $35 million in principle and $6 million of accrued interest and pre-payment premium. We also modified the final maturity to June 30, 2022 and eliminated the minimum revenue covenant. With that I would like to turn the call back over to Jay for closing comments. Jay?
Jay Flatley: Thank you, Ena. I hope it's clear that over the last 90 days, we've made considerable progress on the commitments we made in August. At the same time, we realize that we have work ahead to accelerate revenue generation while rebuilding stakeholder confidence. Despite our near-term challenges, we remain focused on our strategy of pursuing continuous launches of breakthrough products and I'm proud of the work that our teams are doing across the organization. We have a clear vision to partner with Nature, to make superior products in a superior way. Our goals will remain ambitious and we're confident in the long-term prospects for the company. The overall TAM for our technology is enormous. We have a strong platform to create novel products and the markets are hungry for a new generation of technology that will transform the way materials are manufactured. I want to thank you all for your continued support and your patience as we work to strengthen our business and move forward toward a more successful future. With that, we'll now open it up to questions. Operator?
Operator:  Your first question is from Derik De Bruin with Bank of America.
Derik De Bruin: Perfect. Thanks for taking questions. I'm hoping that you can just give us some perspective as why investors should remain confident in the agriculture programs after you posted the rest of the pipeline, there is something different about this market or the customers that you are talking to them that we should be considering.
Jay Flatley: There's a couple of distinctions. One is that what we supply into the agricultural market is a micro rather than a molecule. So, the product itself is quite different. So, there's no scale up required of manufacturing of a particular molecule. The second is that we're working through a partner on distribution and field testing. So, the actual customer interface is held by a very prominent company in this space. And so that responsibility is not really being executed by Zymergen. And I'd say the third factor is that we've already undergone field trials in a preliminary way and those results have been positive to date.
Derik De Bruin: Wonderful. And then just one more from me. So, you previously kind of somewhat opposed to going into developing products for healthcare. And now it seems like you are developing enzymes to be used in vaccines. Can you talk about the strategic rationale here? Is there may be more color on the end use of these enzymes?
Jay Flatley: I don't think the company was resistant to that market really in any way. It was just the fact that the two lead products happen to be in the material science and consumer care areas. In fact, historically the company actually had some R&D partnerships in the healthcare space, which were successfully executed but were ultimately completed. And the programs, at least the drug discovery program that I mentioned, is something that the company has been working on for over a year. And it really resulted from the realization of the power of the underlying metagenomic libraries that we had and our ability to use a novel methodology to determine unique drug targets in the natural product space. So, I wouldn't say the company in any way was averse to this market, it's just that we've promoted those two programs initially. We still have many programs in the material science area in the pipeline.
Derik De Bruin: Alright, appreciate it. Thanks.
Operator: Your next question is from Tom Stevens with Cowen and Company.
Tom Stevens: I just want to ask the question on kind of how you approaching the kind of custom based now post Hyaline. So, I mean, why would customers choose Zymergen? And kind of how can you define your value proposition in light of the kind of pipeline changes and changes to your salesforce that'd be great? Thank you.
Jay Flatley: I'm sorry you were a little you – you were breaking up a little bit. Could you restate the question again?
Tom Stevens: Sure. More on why would customers choose Zymergen now post Hyaline? And kind of how are you redefining your value proposition when you go into customers in light of the changes with Hyaline given the emerging salesforce and all the changes you made?
Ena Singh: Can I repeat the question just to make sure we got it right, Tom? Are you asking why would customers choose to work with us and what is our value proposition to them?
Tom Stevens: Yes.
Jay Flatley: Yes. Well, each of the products that we've talked about go in a slightly different markets and the value proposition of each of those is somewhat different. Clearly what we're doing with partnership with Sumitomo still addresses one aspect of the film market, but there again, we have a strong partner who is responsible for both the customer contact and the manufacturing of the product. The value proposition there is that the ZYM0101 material has a unique set of capabilities, and we believe that that program should progress.  What we're doing in the enzyme space and the drug discovery space has very different value propositions. In drug discovery we're creating unique molecules to address particular targets. In the case of enzymes, we're going after an existing market, but relatively new one that has requirements for improved performance, and improved costs and improved supply. So, that market would be the value proposition. So, each market is somewhat different. What happened in Hyaline was really a misjudgment of the rate of growth of the market and the degree of differentiation of the segments we were going after. And so, I think what we have in the pipeline now is distinctly different from the experience we had with highly
Tom Stevens: Fair enough. And if I could follow-up that I mean, given that, how do you view your kind of revenue into 2022 and 2023 now, is that kind of the same as it was in Q2 or do you see something more near term?
Jay Flatley: We haven't changed anything on our forward projections to the revenue ramp. As we complete our strategic plan, we'll probably lay that out a little bit more clearly. But what we said and Ena reinforced in her comments is that we don't expect any material revenue in 2022.
Tom Stevens: Thanks.
Operator: Your next question is from Tycho Peterson with JP Morgan.
Unidentified Analyst: Hi, this is Rachel and for Tycho. Thanks for taking the questions. So first as a follow-up to some of the earlier questions for vaccine enzymes, can you just give us some color on your plans for the go-to-market strategy for that program? So, are you planning to partner, or do you think that you'll bring to market on your own?
Jay Flatley: Yes, this is very likely to be partnered. So, we are in discussions with potential partners there. We have nothing to report that at this point in time, but the intent is to partner that program.
Unidentified Analyst: Great. And then on the insect repellent, you talked about how you have some IP in bioactives. Can you talk about, have you started to have any conversations with clean consumer companies about potentially licensing or partnering on this?
Jay Flatley: We've had some inbounds in this area, and so we're continuing to look at those. But to be honest with you in the last 90 days, we've been pretty focused on sort of paring down the pipeline, getting focused, getting our product development process really stood up executing well and focused on the products that we're going to create. Now that we're pretty much through that initial phase, reducing the cash burn as well we're going to develop a strategic plan. And as part of that work, we should develop a licensing strategy and decide at that point, whether we want to have a more proactive sort of outbound licensing strategy, as opposed to merely reacting to inbounds.
Unidentified Analyst: Understood. And then last question for me, can you just give us an update on where the process is apt for recruiting a permanent CEO? I assume that can take six to nine months. So, have you started bringing candidates?
Jay Flatley: Yes. So, we've not started the process yet and that's by choice. So, the decision that I made along with the Board of Directors is that we as priority one, wanted to make sure that we right-size the company, got our processes fixed, got our development teams really focused on the new products in the pipeline that we write a strategic plan that we all believe in, that has credibility and it's defensible. And at that point we believe we could credibly go recruit a world-class CEO. Prior to that, I think, it would be challenging to sit across the table to try to recruit someone without a plan that you had conviction in. And so, our intent is to begin working on the recruiting process early in 2022.
Unidentified Analyst: Great. That's all for me. Thank you.
Operator: Your next question is from Matt Sykes with Goldman Sachs.
Unidentified Analyst: Hey guys, this is Dave on for Matt. Thanks for taking the questions. Really glad to hear about the healthcare market focus. It sounds like the drug development could be a really great fit for you guys. Could you give us any more details about the work you're doing there?
Jay Flatley: Not a lot of additional detail at this point in time. I mean, we expect to do that, as I mentioned in the script, over the next couple of months, as we sort of increase the validation level of what we're doing and begin to engage third parties in discussions about the work. What I can tell you is that the preliminary work we've done internally looks really solid. And so, we're very excited about, about the program and I'd ask you to stay tuned for more information to come.
Unidentified Analyst: Got it. And with the strategic review, has that affected how you think about potential partnerships and maybe are you any more inclined now to work with partners on projects instead of taking a hundred percent product risk?
Jay Flatley: Yes, I think it has influenced us to some extent in the way it has is that previously the company was focused not only on creating the product, but also manufacturing it and distributing it in many cases, not in every case. And I think both because of cost constraints and of reasons of time to market, we decided to pull that part of the strategy in, and really focus on creating the products and doing more partnering, both for the manufacturing and distribution side of this. And so that both saves money because we don't have to build a direct salesforce as we would have had to do in consumer care as an example, or to build things like GMP manufacturing, which we might've had to do in other product areas as well. And so, we can save the money there, which is a large investment in a time delay to market. And so, we continue to develop the products largely ourselves sometimes in partnership, but much of the manufacturing and distribution will be through partners in the near term.
Unidentified Analyst: Great. Thank you.
Operator: The next question is from John Sourbeer with UBS.
John Sourbeer: Thanks for taking my questions. I guess just one on the consumer care programs, you highlighted that some of the costs were  there on the direct-to-consumer model. Can you just maybe elaborate a little bit there on what specific areas you saw there on the cost that you highlighted?
Jay Flatley: Sure. So, the history of those programs where that the company a few years back was thinking that it may want to partner those programs with a big consumer company and those partnerships didn't reach any conclusion. And so, the decision then was made to go direct-to-consumer. And as we analyzed this recently over the last 30 days, particularly with only a single product in the portfolio, in the near term, which would have been our insect repellent the costs of hiring a direct salesforce supporting that and building the infrastructure was quite prohibitive. So, if you look at the profitability profile over the next three years there was no chance that that product was going to be profitable. And so, for that reason we've parked it. And it doesn't mean that we're abandoning the consumer care market because we continue to believe that the technology has great applicability there. And we can create great products in that space. It's a question of us having a financial footing where we can either take the products directly to market ourselves and afford to make that investment or in the alternative, we develop a partner that we either license the technology to, or jointly develop an industry leading  the products.
John Sourbeer: Got it. And I guess just another one, just to do a little bit on the cash burn and cash on hand through 2023, I think, in the last update there was what pockets still launching Hyaline in 2022, and maybe having some revenues in 2023. Any additional color you can provide on that? Does that assume any meaningful revenues in 2023, or just any way to think about follow-on product launches there?
Jay Flatley: Yes, I think, we've been pretty clear on Hyaline that we've really canceled that program now. And so, we should expect no revenue from Hyaline coming from the company at any point in time. Now there's theoretically a chance that if the market changed in some dramatic way, the company could reevaluate in the future. And as I alluded to in my remarks, the underlying material that's used in Hyaline has potential other applications. And so, we're exploring those. So, it's the R&D work that went into creating that novel material could have future value. But at this point I'd say it's unlikely it's going to be in the films market.
John Sourbeer: Got it. I guess that's more trying to get at when you see the cash burn through 2023, does that assume product launches and revenue generation in 23 years? Is there any revenue in that model?
Jay Flatley: Yes, I mentioned earlier we haven't talked about 2023 yet. We've really given some clarity around what we expect in 2022. As we complete the plan here over the next couple of months, we'll get greater visibility on the relative ramp of the products that we now have in the pipeline and solidify our internal forecasts probably not just 2023, but all the way through 2024. And we'll decide at that point what external guidance we give. 
Ena Singh: But we still expect product revenue to be immaterial right in 2022, including in the end of 2022. 
John Sourbeer: Got it. Thanks for taking the questions,
Jay Flatley: Our pleasure.
Operator:  Your next question is from Matt Larew with William Blair.
Unidentified Analyst: Hi, this is actually Max  on for Matt. Thanks for taking our questions. I wanted to follow-up on some of your commentary around partnering. And I know you kind of shutdown the idea on the previous business update call, but are you considering shifting towards developing more of a horizontal platform? I mean, it seems like you are kind of halfway there in terms of license licensing out the molecules and products after they have been created, but would it not make more sense to kind of work with customers on the front end instead of trying to partner out after the molecule or products have already been created?
Jay Flatley: Well, I mean, the company has had a history of doing R&D agreements where there was some joint development of products in the early revenues that you've seen on our income statement were generated largely from those types of R&D partnerships. The judgment of the company back a couple of years ago, and consistent with our judgment now is that the long-term economic value is going to be substantially greater by developing products ourselves and using our proprietary technology, rather than relying on third parties to develop those products on our platforms. So, it's a distinct way of going about this market, but one that we think in the long run will deliver greater value.
Unidentified Analyst: Got it. That's very helpful. Thank you. And then I just wanted to dig in a little bit more on ZYM0101 and your decision to keep that program alive. I mean, was that decision just based on your partnership with Sumitomo, or is there something unique about that market or that product that gave you more comfort in your ability to commercialize it down the line?
Jay Flatley: There were two factors, at least two factors, let me say that. Clearly the fact that it was partnered was a huge part of this, so that we didn't have the expense of distributing the product or manufacturing it. So much of the risk then of the program is taken on by Sumitomo in partnership. So that was a very important factor. The second factor is that if this material is successful as we hope, it has very broad applicability across all types of devices. And so, it has a more general applicability than perhaps Hyaline did. And so that's the second distinguishing factor.
Unidentified Analyst: Got it. Thank you.
Operator: At this time. There are no further questions.
Jay Flatley: Great. Thank you all. And we will see you and speak to you in a couple months
Operator: That does conclude today's conference. You may now disconnect.